Operator: Good morning. Thank you for standing by, and welcome to the Madison Square Garden Sports Corp. Fiscal 2022 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s remarks, there will be a question-and-answer session.  I would now like to turn the call over to Ari Danes, Investor Relations. Please go ahead.
Ari Danes: Thank you, operator. Good morning and welcome to MSG Sports Fiscal 2022 second quarter earnings conference call. Our President and CEO, Andy Lustgarten will begin this morning's call with an update on the company's operations. This will be followed by a review of our financial results with Victoria Mink, our EVP, Chief Financial Officer and Treasurer. After our prepared remarks, we will open up the call for questions. If you do not have a copy of today's earnings release, it is available in the Investors section of our corporate website. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements, within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results, and involve risks and uncertainties, and that actual results developments, and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the company and its business, operations, financial condition, and the industry in which it operates, as well as the factors described in the company's filings with the Securities and Exchange Commission, including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On pages 4 and 5 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income or AOI, a non-GAAP financial measure. And with that, I'll now turn the call over to Andy.
Andy Lustgarten: Good morning and thank you for joining us. When we spoke last quarter, we shared the positive momentum we were seeing across our business, driven by strong consumer and corporate demand. Those positive signs are clearly reflected in our fiscal second quarter financial results, which include revenues of $290 million and adjusted operating income of $56 million. Even with the onset of the omicron variant, which briefly slowed us down. We are proud of the strides we’ve made in driving our business back. For the second quarter, I'm pleased to report that our per-game revenues were above pre-pandemic levels. This includes per-game suite and sponsorship revenues, as well as F&B and merchandise per-caps that exceeded results for the fiscal 2022 quarter, while per-game ticket revenue was in line with results for that same period. And based on our current trajectory, we expect total revenues for this fiscal year, both including and excluding our growth in media rights to exceed our last full pre-pandemic year, pro forma for the spin-off. The speed with which our business has returned and the demand and enthusiasm we are seeing from our fans and partners reinforces our conviction that as the owner of two of the most recognized professional sports franchises, we are uniquely positioned to drive long-term growth and value creation for our shareholders. Let's now discuss in detail how our business is performing. Our teams are more than halfway through the '21, '22 NBA and NHL regular seasons. And as we look ahead to several more months of exciting competition, we continue to be pleased with the response from our fans. On our last earnings call, we discussed the strength we were seeing in our season tickets, which represent the significant majority of tickets sold. We also noted the pandemics lingering impact on individual and group tickets, which are a minority of overall ticket sales. Throughout much of the second quarter, we were steadily closing the gap in individual and group sales relative to pre-COVID levels. Then towards the end of December, the omicron variants slowed some of this positive momentum and also caused a small dip in attendance. But signs are pointing in the right direction again. As the impact on sales has leveled off, and the percentage of ticket holders attending games is already approaching pre-omicron levels. For those you who have attended the Knicks or Rangers game this season, you have seen firsthand the garden is rocking, which is a testament to how tremendous our fans have been. Their engagement has also translated into strong spending levels inside the arena. In the second quarter, we saw double-digit percentage increases in F&B and merchandise per-caps compared to pre-pandemic levels. And, as of early December, Knicks jersey sales at The Garden had already exceeded sales for each of the entire '18, '19 and '19, '20 seasons. We're also seeing that enthusiasm extend to corporate hospitality. During the quarter, average usage of suites for Knicks and Rangers games steadily improved, essentially returning to full occupancy. And while it took a temporary step back at the end of the quarter due to omicron, average usage levels have been trending back up again over the past several weeks. In terms of marketing partnerships, our deal momentum has continued. As you know in November, we announced our first partnership in the mobile sports gaming space with BetMGM, which was followed soon after by a partnership with Caesars Sportsbook. Both agreements are expansive multiyear deals done in partnership with MSG Entertainment that span the breadth of our combined portfolio and include deep integration with the Knicks and Rangers. With mobile sports gaming now live in New York state, our partners have hit the ground running and are already seeing the value we provide in helping to drive their business. And we anticipate further opportunities to increase our exposure to the sector. But mobile sports gaming isn't the only growth category. We also recently completed multiyear deals with two companies in blockchain space; Coinbase and Socios, and are actively pursuing new opportunities in other categories. The leagues ongoing commitment to introduce new inventory also provides additional potential upside for our marketing partnerships. For instance, the NBA recently announced the expansion of its jersey patch program to now include player warmup shirts and jackets. This is on top of the in-game jersey patch, which was introduced in 2017, and has only continued to increase in value as demonstrated by several recent deals across the league in comparable cities. In addition, as you know, the NHL previously announced the introduction of a jersey patch beginning next season, which we also believe will generate significant interest from potential partners. Before I turn things over to Victoria, I'd like to briefly touch on something we've spoken about in the past. And that's the substantial underlying value of our two iconic franchises, the Knicks and the Rangers. Since we last spoke, there have been additional transactions which demonstrate the continued demand that exists for professional sports teams. They include a private equity firm reportedly increasing its illiquid minority investment in the Golden State Warriors at a valuation of above $5 billion and the majority stake sale of the Pittsburgh Penguins at a reported valuation of approximately $900 million. Closer to home, in December, Sportico published a ranking of NBA team valuations with the Knicks leading the league at $6.1 billion according to their list. That same month, Forbes updated its NHL team valuations with the Rangers retaining the top spot, while also becoming the publication's first NHL franchise valued at $2 billion. As we pointed out in the past, these estimated team valuations continue to significantly exceed our current enterprise value, further highlighting the untapped value of these assets. In closing, with more than half of the fiscal 2022 already behind us, we are proud of how our business is performing. And based on our current trajectory, our revenues for this year are on pace to exceed our pro forma results from our last full pre-pandemic season. On the heels of this momentum, we see a bright future for our company with substantial opportunities for growth. Our sponsorship business has come roaring back as partners reengage with our assets and brands. And with additional categories that target and valuable new inventory being introduced, we see a real opportunity to take this business to record levels in the future. On the media side, our local and national rights fees provide steady contractual growth. And we have started to benefit from the NHL new U.S media deals. And there's even further upside potential when the NBA national rights come up for renewal in a few years. We also will look to commercialize new digital opportunities as we pursue fresh and innovative ways to engage with our fans, including NFTs, where we have already made inroads with several knicks and Rangers products. And of course, as our teams improve their on-court and on-ice performance, nearly every aspect of our business could see revenue acceleration. So, we are excited about the path ahead for our business, and remain confident in our ability to generate long-term value for our shareholders. With that, I'll now turn the call over to Victoria.
Victoria Mink: Thank you, Andy, and good morning, everyone. I would like to start by reviewing our fiscal 2022 second quarter financial performance, and then provide an update on our balance sheet, including our recent debt refinancing. Results for the fiscal second quarter reflect preseason play as well as the start of the '21, '22 regular seasons for the Knicks and Rangers. I'd remind you that the fiscal 2021 second quarter reflected the impact of the COVID-19 pandemic, including delayed starts to the 2021 seasons, and fan attendance restrictions at The Garden, which affect the year-over-year comparability of results. In the prior period, the Knicks played four home games without fans, while the Rangers played none. This compares to 35 total pre and regular season home games without capacity restrictions in the current year period. As a result, total revenues for the quarter were $289.6 million as compared to $28.8 million in the prior year period, with significant increases in every major revenue line. In particular, national and local media rights fees represented $112.3 million of revenue this quarter, which reflects a return to normal levels of local media rights fees anticipating full seasons for both teams, contractual escalators on the NBA national media deals as well as the impact of the NHL, new U.S media rights deals which began this season. For the balance of our revenue, the majority was ticket related, which was in line with pre-pandemic levels on a per-game basis as well as suites and sponsorship, which as Andy mentioned earlier, are above pre-pandemic levels. This quarter sponsorship results also reflect our new partnerships in sports betting, a category which we expect to be a significant contributor for the rest of the fiscal year with additional growth as we look ahead to fiscal 2023. Adjusted operating income increased $74.7 million to $55.7 million as compared to the prior year period. This improvement was due to the increase in revenues, partially offset by an increase in direct operating expenses, and to a lesser extent higher SG&A expenses. The increase in direct operating expenses mainly reflects the impact of the COVID-19 pandemic in the prior year quarter, including the delayed starts to the 2021 NBA and NHL seasons. This included increases in team personnel compensation, other team operating expenses and arena license fees. The increase in SG&A expenses was primarily due to higher marketing costs as well as fees related to the company's sponsorship representation agreements and services agreement with MSG Entertainment. Now turning to our balance sheet. In December, we enhanced our financial flexibility by refinancing the Knicks and Rangers senior secured revolving credit facilities at lower interest rates. Both facilities, which were previously set to mature in November 2023 were extended for another 3 years to December 2026. Additionally, the next $75 million unsecured revolving credit facility, which was also set to mature in November 2023 was extinguished. This refinancing demonstrates both the quality of our assets and the confidence in the long-term outlook for both our teams and leagues. At the end of the quarter, we had $360 million of total debt outstanding comprised of $330 million under the Knicks and Rangers senior secured revolving credit facilities, and $30 million advance from the NHL. This debt balance reflects a $25 million repayment on the Rangers senior secured revolving credit facility during the period. Turning to our liquidity. As of December 31, we had $249.8 million of liquidity comprised of $54.8 million of unrestricted cash and cash equivalents and $195 million in borrowing capacity under the team's revolving credit facility. Our quarter end cash balance of $54.8 million represented a net increase of $21.2 million, compared to our September 30 balance of $33.6 million. I would also add that this week we paid down an additional $25 million on the Rangers revolver from cash on hand and cash flow from operations, which reflects our confidence in the trajectory of our business given the momentum we're seeing for the remainder of fiscal 2022 and beyond. With that, I will now turn the call back over to Ari.
Ari Danes: Thank you, Victoria. Operator, we'd now like to open the call for questions.
Operator:  Your first question comes from the line of David Karnovsky with JPMorgan.
David Karnovsky: Hi. Thank you for the question. Andy, as we look at your share price since you last reported in November, it's underperformed again, some of those positive catalysts you mentioned, like the Forbes value or the Penguin sale. So, I mean, when you see this disconnect, what are some tools that you have either capital allocation or otherwise that are in your control and could potentially help narrow that gap to asset value?
Andy Lustgarten: Thanks, David. So, before I turn over to Victoria, who will talk a little bit more about capital allocation, I think we should just take a step back. And as you mentioned, we agree, we think our stock price does not appropriately reflect the value of our assets. The pandemic has clearly been a difficult operating environment for every business, but especially difficult for live entertainment. But I'm really proud of how quickly we've bounced back to pre-pandemic levels. So -- but as we saw with omicron, it came very quickly and we do think we're mostly through, if not totally through it. We don't know what's going to come around the corner next. So, we do need to maintain our financial flexibility to handle it. So -- but I do feel really good about the business. Our sponsorship business has come back and is already at record levels. And we believe we can continue to drive it to further levels in the future. Our media rights fees continue to grow. And we think there's future upsides and upside in renewals. And as the team performance accelerates both on ice and on court, we think there's other ways to grow across every area of business. So as our operating business continues to perform, we think that our shareholders will come along with that as well. To your point, there is capital allocation decisions and Victoria will you .
Victoria Mink: Yes, sure. Good morning, David. Yes, so in terms of capital allocation, you will recall that we spoke in the last few quarters about how paying down debt is our near-term focus. And that's what we've been doing, reducing our revolver capacity -- borrowings that we spoke about $25 million on the Rangers facility in the quarter, as well as an additional $25 million that we've paid down just this week. And as part of our recent refinancing, we've lowered our borrowing costs, we freed up some restricted cash, we extended our maturities and we also extinguished the next $75 million unsecured revolver, which reflects the increasing strength of our liquidity position. And while omicron is a reminder that we need to be prudent and maintain flexibility, until the pandemic meaningfully recedes. Now, as Andy said, we feel really good about the trajectory of our business. And over time, we'll evaluate all options for utilizing our free cash flow.
David Karnovsky: Okay. And then I know this is a way with -- Andy you did mention renewals. The NHL is heading into the latter part of a 12-year deal with Rogers in Canada. And we'd appreciate any high-level thoughts you have on the landscape for rights in that market, and whether you think the league could similarly be positioned for an increase like they realize in the U.S. Thank you.
Andy Lustgarten: Pleasure, David. So, we started, I'll say it again, I love being a rights holder, a premium media rights holder. I think there is sports is the most premium of media assets. And we think that there's always going to be a demand for it. Obviously, in Canada, the NHL is the most premium of sports assets, and has done very well in that market for a long time. And I look forward to what they're -- the NHL and the league office is going to be able to do and the rights expire. Now this is a few years old, I think it's '25, '26 before it expires. So, it's a little out, but I think that owning such premium rights in a premium market will deliver value for us.
David Karnovsky: Thank you.
Ari Danes: Thanks, David. Operator, we'll take the next question.
Operator: Your next question is from Brandon Ross with LightShed Partners.
Brandon Ross: Hey, Andy. You mentioned additional sports betting opportunities to come in the prepared remarks beyond the MGM and Caesars deals that you announced. I was wondering if you could size that opportunity for us, even if it's relative to the deals that you already signed, and tell us maybe what inventory is still available to be sold.
Andy Lustgarten: So, thanks, Brandon. I always want to start when I talk about sports betting, in the beginning, I have been saying this for a long time, I believe it. Sports betting is fabulous for fan engagement and we're going to see this across many aspects of our business. So,  the sponsorship revenue that we're generating from it, this is great for us. Now, let's turn to the sponsorship. So, in New York, we've all seen the launch, it's been a massive year. I think the largest launch of any market anyone that has gone into. And that's in one of the most restrictive legal systems frameworks around sports betting with the highest tax rate. So, what does that tell me? There's upside here. We've hit the ground running, that MGM and Caesars have been great partners and are very excited about what we've been able to do with their business. Now what we've seen is there's a number of -- they love to reach our fans, right? And so how do we reach our fans best? And I think this is the way we think about any partnership. We like to keep it premium, we're going to keep it limited. So, we have two partners now. Both partners and anyone else who had ever talked to him, or we've been talking to are very focused on how do we reach our fans that through on ice, on court, signage, digital assets, virtual through our social platforms, official team designations, hospitality has been a very big part of it, being the fixed base for their online gaming players, and our database of our fans. So, while we're not going to be open up to every partner, we do think there's space to potentially add another at the right time who's going to -- who has the same vision for us and how we believe that we should drive this business.
Brandon Ross: Great. And then beyond sports betting, are there new categories of sponsorship we should be thinking about or areas that are under penetrated where there could be some larger opportunities to really grow sponsorship from here?
Andy Lustgarten: Sure. So, I think we should start from where it's been as you come out of the pandemic. One of the things I really would like to applaud the leagues is really working with the team to find new inventory, new types of inventory to deliver so that we're able to find partners. And I can't downplay the significance of premium inventory. Whenever you -- whenever we're able to offer something like a jersey patch, we're able to not only drive the revenue from the patch, but from a whole holistic partnership. And what we found specifically when the NBA launched its patch is a whole host of new partners came into the space that didn't exist and didn't spend here in New York. Squarespace has been an amazing partner. Anthony is a great leader, and they've been a great partner of ours and we expect to continue to grow our relationship. The NHL is opening up, jersey patch just recently opened up the helmet patch. The NBA is opening up additional ways to use patch on warm up gear. So, every time when those type of categories, those types of inventory open, we're able to drive and grow new categories. Don't let me misunderstand -- don't let me misguide you here though. There are categories that we need to continue to drive and grow here where I think, health insurance, fitness, home Improvement, these are all categories that have upside for us. And if you would have asked me 2 or 3 years ago about the whole blockchain space, it's amazing how fast that changed. And we already had two great partners in that space. And we expect to add blockchain continues to develop, there'll be new opportunities there. So, we feel really good about continuing to drive our sponsorship business. There's a lot to do here. We have great assets and we're in the greatest city. So, thank you.
Brandon Ross: Thank you.
Operator: Your next question is from Curry Baker with Guggenheim Securities.
Curry Baker: Hey, good morning. Thanks for the question. Andy, high level, can you help us think about the financial impact of making it to the playoffs? How should we think about home playoff games translating into incremental AOI as well as long-term value creation? And last part is, is there any difference to consider between a Knicks versus Rangers playoff game?
Andy Lustgarten: Thank you, Curry. So let me start, we would be thrilled both teams either team for a playoff run. It's a great experience for fans. It's a great experience. It's great for New York City. And I think the fans have really been embraced both teams so far this year. A playoff run is different than a regular season. So, when you take apart what does it mean to be -- what would drive our business, right. The two biggest cost components of our business already paid for and fixed that player salaries and our arena lease. So that’s fixed and there's no incremental cost for that. So largely, the incremental revenue that comes from a playoff drops to the bottom line. When I say largely, there are always incremental gate taxes, there's revenue sharing and some bonuses we have to pay, but the lion share of it drops down. Now, let me take that back even further, when you think about premium events, premium games, so such as when the Lakers came here versus the Knicks, or Henriks  retirement night, we're able to drive significantly premium revenues for those types of games. And I would expect the playoffs we'd see similar types of revenues. And as if we were so lucky to have multiple rounds, each round would drive further revenue. So, a long run would be very, beneficial for our business for this for now. But we should even park that for one  because current revenues are only one part of it. Well, when we have a long run or even a run, it has knock on effects for multiple years. It helps drives ticket renewals, it helps drive pricing,  drive renewals for sponsorship suites. And then long-term, it'll even affect media rights. So, every time we have long playoff runs, and we feel good about the use of our teams and where they're going, we think that there's ability to drive our business and continue to drive the business.
Curry Baker: Thanks for the answer. Appreciate it.
Operator: Your next question is from Paul Golding with Macquarie Capital.
Paul Golding: Thanks so much. Andy, I was wondering if you could help us understand the potential revenue opportunity or relationship opportunity from the NFT partnerships and how you see that evolving? I think we've seen peers like Crypto.com Arena take time to invest in NFTs for those franchises. So just wanted to get a view on that. And then a quick follow-up. Thanks.
Andy Lustgarten: Sure. Thanks, Paul. So, NFT is like other collectibles, whose entities and effects of the digital collectible do fall under -- there are certain rights the teams have and a certain rights the leagues have. And so together that makes it the whole ecosystem. So actually think about NFT a little bit a step up and I like the example you had of Crypto.com Arena, right. So, we've got two great partners already that we brought in, Socios and Coinbase. We think there are other ways to play in space as well, especially as blockchain continues to grow. But going back to NFTs we do have certain rights. The next launch the limited NFT release over at the end of last season over this -- I mean over the summer. We recently launched Henrik NFT around his retirement night. What's great not only the revenue that generates, but also just the fan engagement and the continued fan engagement and the ability to speak with our fans and hear and watch what they do with the NFTs. And so, there's a lot of benefits here both as blockchain changes as the leagues who've done amazing job, especially the NBA and NHL with Dapper Labs and Top Shot like there's a lot of revenue that they're being generated that flows through as a collective revenue. And so, we think there's -- this is a growing business and there's many ways for us to play it.
Paul Golding: Great. And does that come through on the sponsorship side or do we see that just in rights, just a different kind of right. How should we think about that hitting the P&L?
Andy Lustgarten: So, there'll be some. And when we literally  NFT sale, we'll see something and hit our merchandise. The -- so far, the two partnerships we have are much more in the sponsorship and hospitality side of the world, which is generally the way we think about our partners, right. There is a component of viewers of signage and data  fans was always the hospitality. So, we think there's ways to continue to drive this business.
Paul Golding: Great. Thanks. And just a quick housekeeping one. In terms of the BetMGM and Caesars partnerships, you've been live, the state's been alive for a few weeks now. Should we think about the cadence has been proportional in terms of what we could see going forward as in terms of late stage in F2Q? And now you have more runway and it should be proportional revenue represented? Or do you see acceleration now that you're sort of more underway? How should we think about the cadence of learning that in?
Andy Lustgarten: So let me just add one thing, then Victoria might jump in after me. But remember, when we did, we did announce our deal, complete the deal, Caesars was in early November, BetMGM was in late November. So, there's only going to be a piece of that in this year. Of course, as the time goes on in most of our partnerships, we see step ups in the year, this was a partial year. Anything?
Victoria Mink: No, Andy. I think you covered it perfectly right. We have a limited amount reported in this quarter. We will expect increases as we're performing through a full quarter period and then into the future.
Andy Lustgarten: And I will add, do think there's room to continue to grow this category. And if we were -- and I mentioned as well, we do have the most -- one of the most restrictive gaming laws here in New York state. There's been discussion of kiosks. There's been discussion of other changes that could drive that change in the law, changes in tax code, those things will impact our business. But we do feel very good to where we are right now. And we do think there's further upside.
Paul Golding: Thanks so much.
Operator: Your next question is from David Joyce with Barclays.
David Joyce: Thank you. A couple questions, please. First, I'm thinking about the sustainability of the per-cap spending growth. You've obviously mentioned some new areas like NFTs, maybe that's lumped into the merchandising side. But what else do you think you can do on food and beverage and merch to help sustain this growth, and maybe even expanded some more -- what's the strategy there? And what's your outlook on sustainability versus this pent-up demand of people coming out of COVID? And then secondly, on sports betting, in that area, could we think about a revenue stream related to the data for your IP that's supplied ultimately to the sportsbooks? Meaning, is that part of your media rights already? Or is that some incremental upside from here? Thank you.
Andy Lustgarten: My pleasure. Thank you. First, let's start your first question on sustainability of our per-cap. So, one thing we've seen not just here, but across the whole industry is as people have come back, they come back to live entertainment, for -- they comeback spending for things that they care about. That's definitely been a theme that we've seen and we believe our fans really care about our business. They're super passionate and they care. So, what that does is it drives our business, drives our merchandise, our merchandise levels are above. We've already broken our pre-pandemic full season merchandise from before the pandemic for the whole year. The spending has continued for every game we've had so far. We hadn't seen -- we see no step back on any game. And we believe that that's going to continue. But the real question is, then how do we continue to grow it? So, we've been focused on bringing in new fresh ideas, new fresh brands. For example, we have a great partnership with Kith, who designs one of our Knicks jerseys. And it's, we'll be releasing and releases a release around it. Brands like that help us drive our business, help us stay relevant, help us stay connected to our fans. We've got numerous other ideas like that. We're always focused with how do we change and improve the customer experience here in the venue. Try to be innovative with how do people pay where's the right place to put stands, we're always changing on locations where people are able to pick up and buy goods. So, you want to make -- we are very careful about not making ourselves over commercial inside the venue, being doing at the right premium place, but we do it to drive fan experience because we find fans have a great experience. They want to spend, they want to be with us and they want to be here. In terms of your second question on data IP, so I think I will split it a little bit -- I got tweeted apart from what you're asking. I think part of all of our deals so far, we've talked about reaching our consumers and through many different sources, social our database. But I think what you're really talking about is statistics and IP around stats. So, if that's the part of question, the official  are our league rights, and are able to grant it done as part of their league deals. We see the benefit of pickup of league IP as this business grows. But we do think that at a team level, integration and -- our media integration in the games, virtual signage are ways to continue to drive the category.
David Joyce: Good. Great. Thank you very much.
Ari Danes: Thanks, David. Operator, we have time for one last caller.
Operator: Your last question comes from David Katz with Jefferies.
David Katz: Hi, everyone. Thanks for taking my question. I did want to go back to the sports betting category because it does seem as though there's quite a few tributaries of ways that the teams can earn off of it. And I just wonder if you could help us sit down and pencil something that give us a number. But there any tools you can provide us with to sit down and perhaps assign some value, because it is happening. It's happening in New York, and it's happening related to you. And I just thought it would be helpful to me and maybe the group at large.
Andy Lustgarten:  respond exactly. I mean, we don't share obviously individual details of any partnerships. What I can tell you is that we think this is a very large category, and a very large growing category, potential to be our largest category and we might be there already. So, it's a -- this is big. And we think there's lots of ways to continue to grow it. The way we break out the exact split between sponsorship and hospitality, that's a very -- we don't believe when we work with a partner to integrate a partnership. And as we talked about, we think it's about driving, helping drive their business, which enable us to drive our business and enables us to keep our partners for long periods of time. There's a reason why our partners come back and want to be with us, because we don't view them as just sponsors. So, we think we're going to be able to help our partners drive their business, and I think it's already shown in the results from who are the leader -- who are the leaders in the New York market and who are our partners.
David Katz: Completely understand and appreciate the answer. If I can just follow this up and recognizing that some of this may be beyond the scope of MSGS. Is there -- now that it's legal in New York, we've seen other venues include actual sports betting kiosks, or sports book pipelines . If something like that were to occur without asking you whether it will or won't, is that something that would be financially beneficial for the teams as well? Or is that just a venue -- more of a venue issue?
Andy Lustgarten: It is hypothetical, so it's hard to give you a specific answer on it. There has been a lot of talks about kiosks coming to the market. What I'll say is, there's -- I mean, if you look at our lease agreement between MSG Sports, MSG Entertainment, there's sharing in many different forms of revenue, fix signage and different parts of the business. So, I wouldn't assume that a kiosk would be only for entertainment, nor only for sports, there's different ways to share. And we think that there's ways if there were kiosks or other changes in the industry, changes around microbead  and changes other rules that would enable us to further drive the business. There's lots of ways to grow this business for both -- for the team and for MSG Entertainment.
David Katz: Perfect. I appreciate it. Thanks for taking my questions.
Operator: Thank you. I would like to turn the conference back over to Ari Danes for closing remarks.
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a good day.
Victoria Mink: Goodbye.
Operator: Thank you This concludes today's conference call. You may now disconnect.